Operator: Hello, and welcome to the Robert Half Third Quarter 2014 Conference Call. Our hosts for today’s call are Mr. Max Messmer, Chairman and CEO of Robert Half; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Harold M. Messmer, Jr.: Thank you. Hello, everyone. We appreciate your time today. Before we get started, I’d like to remind you that comments made on today’s call contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and include words such as “forecast,” “estimate,” “project,” “expect,” “believe,” “guidance” and similar such expressions. We believe our remarks to be reasonable, but they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Some of these risks and uncertainties are described in today’s press release and in our SEC filings, including our 10-Ks, 10-Qs and today’s 8-K. We assume no obligation to update statements made on today’s call. For your convenience, we do now publish the prepared remarks for this conference call at the same time we issue our quarterly earnings statement. You’ll find these remarks on the Robert Half website at roberthalf.com. Simply click on the Quarterly Conference Calls link from the home page of the Investor Center. Now, let’s discuss the third quarter. Third quarter revenues were $1.22 billion, up 14% from the third quarter of 2013. Income per share was $0.63, up 30% year-over-year. Cash flow from operations was $94 million during the third quarter. Capital expenditures were $13 million. We paid an $0.18 per share cash dividend to stockholders on September 15, 2014, at a cost of $24 million. We also repurchased 1.2 million Robert Half shares during the quarter, at a cost of $61 million. Approximately 5.5 million shares remain available for repurchase under our board-approved stock repurchase plan. Demand for our staffing and consulting services accelerated during the third quarter, with all lines of business reporting double digit year-over-year revenue gains. The strength in our operations was broad based and included both U.S. and international locations. This was Robert Half’s 18th consecutive quarter of double digit net income and earnings per share percentage growth on a year-over-year basis. Return on equity on an unlevered basis was 35% for the quarter. Now, I’ll turn the call over to Keith for a more detailed review of our third quarter results.
M. Keith Waddell: Thank you, Max. Global staffing revenues were $1.22 billion in the third quarter. This is up 14% year-over-year on a reported basis and up 13% on a same day constant-currency basis. Global staffing revenues were up 13% on a same day constant currency basis. U.S. staffing revenues were $807 million in the third quarter, up 14% on a same day basis. International staffing revenues were $250 million in the third quarter, up 9% on a same day constant currency basis. We have 341 staffing locations worldwide, including 99 locations in 18 countries outside the United States. There were 64.2 billing days in the third quarter, compared to 64.0 days in the third quarter of 2013. This had the effect of increasing reported year-over-year staffing growth rates by 0.2%. The current quarter has 61.7 billing days, compared to 61.9 days in the year ago fourth quarter. Currency exchange rates had the effect of increasing third quarter of year-over-year staffing revenues by $1 million and improving year-over-year reported staffing growth rates by 0.1%. We provide a supplemental schedule with our earnings release that shows year-over-year revenue growth rates for our various staffing lines of business on a reported as well as on a same day constant currency basis. The schedule further divides the data between the U.S. and non-U.S. operations. You could find the schedule in today’s press release and in the Investor Center of our website. This is a non-GAAP financial measure that provides information on certain revenue trends in our operations. Global revenues for Protiviti were $168 million in the third quarter with $138 million in revenues in the United States and $30 million in revenues outside the U.S. Global revenues for Protiviti were up 18% year-over-year on a same day constant currency basis, with U.S. revenue up 20% and non-U.S. revenue up 11% from the prior year. Protiviti and its independently owned Member Firms serve clients through a network of 76 locations in 25 countries. Now turning now to gross margin, in our temporary and consulting staffing operations, gross margin was 36.9% of applicable revenues. This is up 70 basis points from the third quarter a year ago. The improvement includes higher pay/bill spreads, tipped to higher conversion fees and lower payroll taxes and other fringe benefit costs. Third quarter revenues for our permanent placement operations were 9.7% of overall staffing revenues, compared to 9.4% of staffing revenues in the third quarter a year ago. Together with the temporary and consulting gross margin previously discussed, overall staffing gross margin expanded by 80 basis points versus a year ago, to 43.0%. Third quarter gross margin for Protiviti was $51 million, or 30.5% of Protiviti revenues, compared to $42 million, or 30.5% of Protiviti revenues, one year ago. Staffing, SG&A costs were 31.7% of staffing revenues in the third quarter versus 32.6% in last year’s third quarter. SG&A costs for Protiviti were 19.0% of Protiviti revenues in the third quarter versus 20.6% of Protiviti revenues reported this time last year. Operating income from our staffing divisions was $119 million in the third quarter, growing 32% over the prior year and resulting in an operating margin of 11.3%. Temporary and consulting divisions reported $98 million in operating income, an increase of 28% over the prior year and resulting in an operating margin of 10.2%. Operating income for our permanent placement division was $21 million in the third quarter, up 56% from the prior year and producing an operating margin of 20.9%. Third quarter operating profit for Protiviti was $19 million, an increase of 40% from the prior year and an operating margin of 11.5%. Our third quarter 2014 income tax rate increased to 38.4%, up from 36% in last year’s third quarter. This was primarily due to fewer available unused foreign tax benefits. At the end of the third quarter, accounts receivable were $657 million. Implied days sales outstanding were 48.8 days, compared to 47.9 days at the end of the third quarter a year ago. Before we move to fourth quarter guidance, let’s review the trends we saw in the third quarter and so far in October. In U.S., year-over-year growth rates for our temporary and consulting divisions accelerated in July, flattened in August then accelerated in September. Also in the U.S., year-over-year growth rates for our permanent placement divisions accelerated in July, slowed in August then accelerated in September. Outside the U.S., year-over-year temporary and consulting staffing growth rates accelerated in July and August, and decelerated a little in September. Permanent placement growth rates outside the U.S. slowed in July, but accelerated in both August and September. For the first two weeks of October, revenues for our temporary and consulting operations were up 13% on a same day constant currency basis, compared to the same period last year with U.S. temporary and consulting revenues up 15% and non-U.S. temporary and consulting revenues up 8%. For the first three weeks of October, permanent placement revenues were up 10% on a same day constant currency basis, compared to the same period last year with U.S. perm revenues up 10% and non-U.S. perm revenues up 10%. We provide this information with the caveat that’s difficult to read a great deal into these trends given the short periods of time they represent. We now offer the following fourth quarter guidance: Revenues $1.175 billion to $1.225 billion, earnings per share $0.57 to $0.62. We limit our guidance to one quarter. All estimates we provide on this call are subject to the risks mentioned in today’s press release and in our SEC filings. Now, I’ll turn the call back over to Max.
Harold M. Messmer, Jr.: Thank you, Keith. We were genuinely pleased with the company’s performance in the third quarter. Labor markets are stronger now than they have been in several years, particularly in the United States and most notably in the professional segments in which we specialized. We also saw our growth rates accelerate in our non-U.S. operations as a result of higher demand for our staffing and consulting services. In September, the unemployment rate in the United States drop below 6% for the first time since 2008 and the jobless rate for college-degreed workers 25 years and older was less than half that rate. The temp penetration rate which represents the number of temporary workers as a percentage of total U.S. employment reached an all time high of 2.1%. As noted earlier on the call, growth in our staffing operations was broad based during the third quarter with all staffing and consulting divisions reporting solid year-over-year revenue grains. Competition for our experienced talent is intense right now in many cities and in some occupations the demand is growing faster than the supply of skilled workers. We are very good at locating our defined talent for our clients and I believe this is reflected in the higher demand for our services that we are seeing. Protiviti reported another strong quarter with double digit sequential and year-over-year revenue gains on a percentage basis. Like our staffing operations, Protiviti’s growth was broad based within its various service lines including information technology, consulting, risk and compliance, and internal audit among others. At this time, we will be happy to answer questions. We would request that you please limit yourself as usual to one question and a single follow-up as need. If time permits, we will try to return to you later in the call if you have additional questions. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Mark Marcon with Robert W. Baird. Your line is open.
Mark S. Marcon – Robert W. Baird & Co.: All right, good afternoon. First of all, congratulations on truly a terrific quarter and great year so far. I was wondering if you could talk about – there are two questions I have. One would basically be around Protiviti. It’s the second year in a row where we’ve seen this really terrific growth out of them. And I’m wondering if you can frame for us how you think about the longer-term opportunity for Protiviti as we go out a few years and how we should think about what the potential is there both in terms of the top-line as well as the margin expansion? And then secondly, with regards to the temp gross margins, it sounds like there is lots of positives that are going in your direction and not anything that was truly one-time. I’m wondering if you think there is still lots of room for – not lots but significant room for more pay bill expansion and can you go into on what the temp to perm fill rate was or what that ratio relative to the normal ratios that you normally see?
Harold M. Messmer, Jr.: Sure Mark. As to the long-term opportunity at Protiviti both revenues and margins were quite optimistic, they are very well positioned in financial services risk and regulatory and IT consulting around controls, internal audit is also very strong, particularly with the PCAOB and COSO opportunities that they currently have and we think those have legs long into the future. From a margin standpoint, we were very happy they got the double digit operating margins, this year one quarter sooner than they did last year. We’ve long stated that we believe on an annual basis, they can get to double digit margins on a consolidated global basis and we’re still optimistic that they can get there sooner rather than later. So we’ve remained very positive about Protiviti and further Protiviti is going to market together with staffing. Particularly in management resources, we believe we have a very unique competitive advantage by having the ability to offer the continual services all the way from staff augmentation on one end to full outsourcing with deliverables on the other end in a way that no other staffing or consulting firm can do quite frankly. On the temp gross margin point as to what opportunity for expansion do we think we have beyond here, we would say, we would make a couple of observations that while our conversions have improved a little bit year-over-year. We’re still at the low end of the 3% to 5% traditional range. I think we were 3.1%, 3.2% something in that category this quarter. So there is even at the mid-point of a typical range. You’ve got almost a 100 basis points of virtually pure margin there. And further, the payroll tax more specifically the unemployment, payroll tax low that we’re carrying is still 30 basis points to 40 basis points higher than what we would see in the sweet spot of a recovery scenario. And therefore, we believe as this recovery continues that naturally our State unemployment rates will come down. Offsetting that to some degree, we do have ACA to deal with next year. We think that’s a very small single digit percentage headwind that we hope we can deal with for bill rates, but that might provide a little bit offset to the upside we otherwise have from State unemployment rates. So net notwithstanding, we reported very strong temp gross margins this year, this quarter. We’re still optimistic that they can expand further.
Mark S. Marcon – Robert W. Baird & Co.: Terrific. Thank you.
Operator: Your next question comes from the line of Sara Gubins with Bank of America Merrill Lynch. Your line is open.
Sara Gubins – Bank of America Merrill Lynch: Hi, thanks. Good afternoon. The revenue guidance for the fourth quarter of 8.4% – that 13% growth represents very strong growth, but not as strong as the third quarter. And I wanted to get a sense of how you’re thinking about the currency impact in guidance and whether you’re expecting international to slow in the fourth quarter if there are any other reasons for the slow down? I’m really trying to get a sense of the conservatism that’s in the top line.
Harold M. Messmer, Jr.: Right and so we do believe that the midpoint of our guidance still show strong growth for the fourth quarter. Essentially, we’ve taken the U.S. and we at the midpoint assume that we continue the third quarter growth rates intact with one exception. We had a large project just in which would negatively impact those growth rates just under one percentage point, but generally speaking a continuation of Q3 growth. Non-U.S., we’ve conservatively assumed some constant currency deceleration still have growth but not quite as much growth as we had in Q3 not for anything we’ve already seen out of the gate, we’ve done pretty well, non-U.S., but instead for things that you worry about given all the mixed sentiment signals that are out there now about Europe. As to currency, our reported year-over-year growth rates will decline by about 2 points, if currency exchange rates stay at their current level. So when you put everything back together again, the reported deceleration in growth that you referenced is principally due to currency and further due to some conservatism for the constant currency growth rates outside the U.S. Just to give you a few other comments on guidance why we’re taking of our guidance, for temp gross margin at the midpoint, they’re still 30 basis points to 40 basis points of year-over-year improvement that’s not as much improvement as we just reported because remember a year ago we had a $2.7 million workers comp credit that gave us a 30 basis point lift in fourth quarter a year-ago gross margins. This year we’ve assumed no credits or debits in workers’ comp, the actuaries are in doing their working and we don’t know what the outcome of that is. Further as to SG&A, across the fourth quarter is a shorter quarter, there’s some negative leverage on operating cost that happens every year in the fourth quarter. Further, we turn to speaking up hiring wise in the latter part of the third quarter, which continued into the fourth quarter. So we’ll have a higher load for staff cost in the fourth quarter than we would otherwise have, such that again at the mid-point, on a sequential basis, you’re going to see SG&A up 60 to 70 basis points. But on a year-over-year basis, it’s going to be down 40 to 50 basis points, consistent with what you’ve seen lately. Protiviti, the growth rates seem to slightly lower due to tougher comps. Gross margin seem to slightly lower as they have aggressively added campus hires during the third quarter, plus they’ve added some MDs, we still believe we can maintain double-digit margins in the fourth quarter, as we have in the past. And finally, as to the tax rate, we would expect the fourth quarter tax rate to be down 75 to 100 basis points to the mid 37 percentages plus or minus 50 basis points, principally due to foreign – excuse me – foreign tax benefits. And again when I was saying down 75 to 100 basis points, I was comparing to the third quarter of 2014 not to a year-ago. So that’s some color on the mid-point embedded into the guidance we’ve given.
Sara Gubins – Bank of America Merrill Lynch: Great, thank you. Just one quick follow-up question on the incremental hires that you started towards the end of the third quarter. Could just give us some more detail about where those were?
Harold M. Messmer, Jr.: Well it was sprinkled across all our divisions, we talked last quarter about we felt like we got little behind hiring recruiters in technology. So throughout the third quarter we added recruiters in technology, in fact we felt like we got some payback from that pretty quickly and our technology growth rates actually accelerated during the quarter. But we also did perm hiring and Accountemps hiring and part because we haven’t added to headcount there in the last few quarter that we otherwise could have. So pretty broad-based with a little focus on technology.
Sara Gubins – Bank of America Merrill Lynch: Thank you.
Operator: Your next question comes from the line of Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman – JPMorgan: Hi, it’s Andrew. I want to ask a little bit about Accountemps. This is really a division – largest, division that really kicked into place in the third quarter. Why do you think the timing is now for Accountemps looking at the third quarter? And then, seasonally speaking Accountemps is usually strongest into the fourth quarter on same-day basis. Could you just give us a sense of how Accountemps is actually in the fourth quarter?
Harold M. Messmer, Jr.: Well, Accountemps enters the fourth quarter with nice momentum. We across the board, across our same divisions saw acceleration in the third quarter as the macro for our small to middle sized business clearly improved. It was broad-based. It wasn’t just California, it wasn’t just Texas. It was much more broad-based than it had been in prior quarters. So it’s one thing, which is a good thing, but it’s net broad-based and we do take momentum into the fourth quarter, which is why the midpoint of our guidance assumes we take the same growth rates that we experienced in the third quarter into the fourth quarter as well.
Andrew Steinerman – JPMorgan: And that was an Accountemps comment or that was an overall comment?
Harold M. Messmer, Jr.: Well, that was an Accountemps comment, but we make virtually the same comment for all the divisions. As I alluded to earlier, our Management Resources division grew much faster than the other divisions because it benefitted from a large project and that large project is now ended. It impacted the Management Resources division by about 6.5 growth points, but overall that’s less than one growth point and we think that’s easily absorbed just in the ordinary course with what’s going on in the fourth quarter.
Andrew Steinerman – JPMorgan: Right. And within Accountemps you expect a normal seasonal uplift in the fourth quarter?
Harold M. Messmer, Jr.: Again on a same-day basis, yes, but understand it’s a short quarter, so the two tend to negate each other on a reported basis.
Andrew Steinerman – JPMorgan: I got it. Thank you so much.
Operator: Your next question comes from the line of Gary Bisbee with RBC Capital Markets. Your line is open.
Gary Bisbee – RBC Capital Market: Hi, guys. Good afternoon. I guess I’d love to dig a little bit into the international business, very strong acceleration sequentially. And hence that’s bit surprising relative to what a bunch of the other global staffing companies have mentioned in terms of softening in last six weeks. I know your mix is better on a bunch of levels, but anything you’d point to for driving that strength or is it really continuation of (indiscernible) in the past few quarters? Thanks.
Harold M. Messmer, Jr.: Well, we typically talk about our largest six countries outside the U.S. and every single country accelerated in growth versus the second quarter. Further, Germany and France showed the most acceleration, but the UK had the strongest absolute growth rate, which has been strong for many quarters in a row. And if you’d further look at their outlooks for the fourth quarter to a country they are strong that said, particularly continental Europe, their confidence in their forecast was shaken a bit by all the German export declines, German manufacturing declines. So the headlines tempered their enthusiasm for their forecast a bit, but both their post quarter results and their own forecast would remain strong, everybody just being more cautious.
Gary Bisbee – RBC Capital Market: Okay, great. And then the follow-up question, back to the Protiviti margins that you’re obviously driving terrific top-line growth then getting SG&A leverage. I think for the last six months, the gross margin is not going up a lot. Is that indicative of you getting utilization back to the level, that’s a reasonable level for growth and investment? Or is there still room over time to increase gross margins in that business as well? Thank you.
Harold M. Messmer, Jr.: Well, as we’ve talked before there are really three levers in gross margin, it’s your bill rates, it’s your leverage ratios, how many managing directors that you have versus lower level of staff people and it’s your utilization. Our utilization rates are good. We have hired, on an investment basis, a lot of managing directors at the top of the pyramid in the hot solution areas. We also added more campus hires this past fall than we typically would because of our very strong growth rates. So in the short terms, those have impacted our gross margins, but notwithstanding that we still got into the double digit operating margins that we’ve been shooting for some time. So we’re pleased with the operating margin level that we’ve achieved with Protiviti notwithstanding the people investments that we’ve made for future growth, which we’re very optimistic about.
Gary Bisbee – RBC Capital Market: Great, thank you.
Operator: Your next question from the line of Paul Ginocchio with Deutsche Bank. Your line is open.
Paul Louis Ginocchio – Deutsche Bank Securities Inc.: Thanks. As I look through to all those constant currency, same day billing growth rates. You’re looking to slowdown into the third quarter from where second was international perm placement. What markets slowed and it sounds like that kind of corrected itself towards the end of the quarter is that the right way to think about it? And do you often see divergences international between perm growth and temp growth? I was surprised that perm was sort of strengthening a little bit, as you read about it, but then it seems like temp was decelerating. Thanks.
Harold M. Messmer, Jr.: I would say it’s not uncommon to see divergence between temp and perm growth rates particularly quarter-to-quarter. If our country leaders are around the call, they would say that perm they would like to have more headcount than they’ve been given and that’s had the effect of constraining their growth. But they were also probably saying that every quarter, since the beginning of time. But the point is perm versus temp, is going ebb and flow quarter-on-quarter. We don’t believe there’s any message there, any signaling message as to the future by looking at temp versus perm. And we’re looking hard at the headcount we’re allotting to perm outside the U.S., particularly in the UK where they’ve been very strong.
Paul Louis Ginocchio – Deutsche Bank Securities Inc.: Great. And then just, what perm markets slowdown in the third quarter relative to the second.
Harold M. Messmer, Jr.: Paul, we typically don’t get into country by country perm versus temp, we’ve given you lot of data country by country as it is.
Paul Louis Ginocchio – Deutsche Bank Securities Inc.: Okay, great, thanks.
Operator: Your next question comes from the line of Tim McHugh with William Blair & Company. Please go ahead.
Timothy McHugh – William Blair & Company: Yes, thanks.
M. Keith Waddell: Hi, Tim.
Timothy McHugh – William Blair & Company:
M. Keith Waddell: Well. If you look at the 70 basis points our improvement year-over-year, well not exact but it’s pretty evenly split between the three components I talked about, pay bill spreads, conversions and the payroll tax/fringe load. So on a year-over-year basis, it’s pretty evenly split, it’s not exact, but it’s pretty evenly split between those three.
Timothy McHugh – William Blair & Company: Okay. And then I guess on the technology side you talked about you saw quick back and I know you’re adding people. Do you still feel understaffed in that area relative to being able to find people, or I guess are you back to a good start in that market?
Harold M. Messmer, Jr.: We remain bullish on the technology staffing market, it’s still a candidate driven market for which you need more recruiters, to continue to grow that business at the rate that we’re growing it. We will need to continue to add recruiters which we plan to do so. But clearly, it’s easier to get orders than it is to find candidates and that’s particularly true at the development side, app development, web development, software engineers, the higher-level tech skills.
Timothy McHugh – William Blair & Company: Okay, thanks.
Operator: Your next question comes from the line of Jeff Silber with BMO Capital Markets. Your line is opened.
Henry Chien – BMO Capital Markets: Hi good afternoon. It’s Henry Chien calling for Jeff. I’d love to dig in a little bit about your comment around health care costs. Do you have a sense when you might pass along some bill increases, or when you might do some increases in cost as a result of health care? Thanks.
M. Keith Waddell: Well we’ll have to comply effective January 1, 2015. And that will be based on a one year look back of who met the thresholds during 2014.
Henry Chien – BMO Capital Markets: Got it.
M. Keith Waddell: We estimated many months ago what that cost would likely be and it’s scary how close we still believe the cost of the virtually the same as what we early estimated and it’s still a very low single digit percentage increase to our cost which were cautiously optimistic that we can pass thorough to our clients. And frankly, we’d say lesser cost increase than we’ve dealt with in years past as unemployment rates increased, which gives us even more confidence that we can manage through the additional cost for ACA.
Henry Chien – BMO Capital Markets: Got it, okay. That’s great, thank you.
Operator: Your next question comes from the line of Randle Reece with Avondale Partners. Your line is open.
Randle Glenn Reece – Avondale Partners, LLC: Good afternoon. I was wondering if you’re looking at your markets on the demand side, what is good better than it has been beyond demand that’s sparked by regulatory compliance. And are we seeing the long awaited small business hiring recovery in your business?
Harold M. Messmer, Jr.: Well I’d say you put your hands on it Randy that we do believe the macro for our small business, middle-sized business client is improving and the demand is broad based. And further, if you look at accounting operations versus financial positions, we’re seeing strength in accounting operations, which is more volume driven on the part of our clients, as our clients have more transactions to process, they need more accounts payable, accounts receivable, payroll and it’s those positions that we’re seeing near term strengthen in which is further indicative of our clients are seeing increasing demand on their side.
Randle Glenn Reece – Avondale Partners, LLC: Thank you very much.
Operator: Your next question comes from the line of Anj Singh with Credit Suisse. Please go ahead.
Anj Singh – Credit Suisse: Hi, thanks for taking my questions. I just wanted to ask on the ACA question earlier again. You said that the single digit headwind is in line with your estimates and you think you can offset it with bill rates. I’m wondering if you’ve already had any discussions around that with your clients and if you do think that you can pass it off. How many quarters do you think it might be till that headwind can be offset by the bill rate increases?
Harold M. Messmer, Jr.: As the discussion with clients, we typically would not start those discussions at this time although we’re certainly will be beginning to and frankly given the turnover and the duration of assignments. It’s with the next new assignment that you pass through the new mark-up percentage rather than necessarily re-pricing the assignments and process and for that reason, it might take two or three quarters to get there fully, which is not unusual if you look back and how we dealt with unemployment cost increases, which we’ve had to pass through in the past.
Anj Singh – Credit Suisse: Got it. And then on Protiviti internationally, I was wondering if you can call out what drove the big step up in growth at Q3 if there is any particular practices that are driving the growth. And I realized you’re seeing tough comps at Q4, but I just wondering if you can give us a sense of how sustainable that is for your international business?
Harold M. Messmer, Jr.: I would like to tell you that we’ve got double digit growth rates in Protiviti non-U.S. and those are here to stay, but the truth is if you analysis the numbers, they had particularly weak comparisons at year ago and the third quarter and those weak comparisons get stronger in a hurry such that for the fourth quarter, I wouldn’t expect anywhere near those kind of growth rates Protiviti non-U.S. That said Protiviti overall those growth rates are wonderful.
Anj Singh – Credit Suisse: Okay, all right. That’s it from my end.
Operator: Your next question comes from the line of Kevin McVeigh with Macquarie. Please go ahead.
Kevin McVeigh – Macquarie Research: Great. Well, Keith, it sounds like the numbers you laid out between conversions and payroll tax kind of relief, there is about 150 basis points of incremental margin on the temp side. Is that kind of a way to think about it over the course of the rest of the up cycle? And then I wanted to make sure when you talk about the workers comp in the call, if there is a benefit we would you see that in Q4 and then I’m assuming that’s not in the guidance right?
M. Keith Waddell: Okay, on the temp gross margin upside 100 basis points to 130 basis points, we can round up to 150 basis points if you would like would be a reasonable expectation over the remainder of this up cycle and whether that’s a couple of three years will precisely how long that is we could all conjecture, but it’s in that order of magnitude and then the math is very simple, it’s about a 100 basis points from conversions and the balance is from a smaller load for payroll taxes, primarily unemployment. As to workers comp, we will record in the fourth quarter once the actuaries do their accrual evaluation, whatever they say, we need to mark that to market. We do that twice a year. We’ve done it twice a year for many years. A year-ago, we had a very nice credit. This year, we don’t know whether we’re going to get a credit or a debit, but whatever we get, we will book it in the fourth quarter, it’s not in our guidance, and we’ll tell you what it is or what it was.
Kevin McVeigh – Macquarie Research: Super, and then I don’t know if you will give this or not, but how many basis points of investment were kind of staffed within Protiviti for the years to these hires and incremental – campus hires and things like that. If he didn’t make those hires, what type of margins would we be settling in on the Protiviti side?
M. Keith Waddell: Well, quite frankly the best thing that could happen is that for the foreseeable future, we remain so optimistic about our future that we continue to make those investment hires and you see that kind of margins into the future you see today, and again for the last two quarters. Now, we’ve had double digit operating margins notwithstanding those investments and to be growing between 15% and 20%, which they’re growing and to have operating margins in the low double-digit rates we’re quite happy to have for quite a while.
Kevin McVeigh – Macquarie Research: Understood. Thanks.
Operator: (Operator Instructions) Your next question comes from the line of Tobey Sommer with SunTrust. Your line is open.
Tobey Sommer – SunTrust Robinson Humphrey: Thank you. I was wondering if you could update me on the bill rate growth in the quarter and maybe the sequence of how it’s progressed so far year-to-date.
Harold M. Messmer, Jr.: And so for the quarter, on a global basis, bill rates are up 3.4% and at first blush that looks like it’s less than last quarter’s 3.5%. There is a currency impact there and adjusted for currency the bill rate increase would be 30 basis points higher, not 10 basis points lower. So, said differently if you just focus on the U.S. We’re continuing to see pay and bill rate increases, those are most noticeable in Robert Half Technology and in Robert Half Management Resources, but we’re seeing that to some degree across the board, which is yet another indication to us that this recovery is beginning and continuing in earnest, which we’re pleased about and is reflected in all our growth rates.
Tobey Sommer – SunTrust Robinson Humphrey: Thank you. You decided internal hiring and kind of picking up the pace in Protiviti in other areas. Does the market opportunity cause you to think about any inorganic means to spur growth? I’m curious particularly on the perm side where you’ve done a real good job I think of growing that business.
Harold M. Messmer, Jr.: Well, we often look at small acquisition opportunities and it typically boils down to our evaluation of the quality of their people and to the extent to which they would assimilate well into our cultures. We’ve long focused on organic growth and internal growth, but over the years we have done many small acquisitions. Protiviti did a couple last year in the share point area, which continues to do well. But we’re not anti-acquisition, but we’re very selective and given our 35% return on equity, which we’re also very proud of we believe over time our focus on primarily organic growth has paid off. That been said we’re always looking for good deals.
Tobey Sommer – SunTrust Robinson Humphrey: Thank you very much.
Operator: Your next question comes from the line of George Tong with Piper Jaffray. Your line is open.
George K. F. Tong – Piper Jaffray & Co.: Hi, good afternoon. Digging deeper on margins could you comment on how you think about the structural ceiling to margins if that’s changed versus prior cycles? And what potential factors could drive gross and operating margins above prior peaks?
M. Keith Waddell: Well, if you walk up and down the P&L, as we’ve talked about we think there’s a 100 to a 150 basis point of expansion, margin expansion for tipped higher conversions for smaller payroll tax loads. We further believe just from an operating leverage standpoint as we grow our top line our fixed cost will be better levered, not only in the staffing side, and on the Protiviti side. So as we’re approaching all-time high margin percentages, we would be very disappointed, if we don’t go well beyond those, although we’re hesitant to give any forecast as to how much beyond prior peaks will take them. We’ll take them to where we think they make sense and will balance, reporting quarter-by-quarter operating margins against making investments for future growth that we do every quarter.
George K. F. Tong – Piper Jaffray & Co.: That’s very helpful. And then could you talk about your performance in Europe, specifically as it relates to the UK, Germany and France, whether the strength there was due to market share gains or generally improved market conditions?
Harold M. Messmer, Jr.: It’s hard to pinpoint the precise answer to your question, that said, it’s our belief, that it’s some above. If you look at our growth rates and if you look at the growth rates in those markets overall, we’re growing faster. So I think you could easily then deduce that we’re gaining market share. That said, those markets have been recovering in the last few quarters and to the extent to which that continues is obviously the debate of the last several weeks.
George K. F. Tong – Piper Jaffray & Co.: Thank you.
Operator: Our last question is a follow-up from Paul Ginocchio. Please go ahead sir.
Paul Louis Ginocchio – Deutsche Bank Securities Inc.: Thanks for taking my question, my follow-up. You know well back I thought about may be ACA driving some demand we’re certainly seeing that in PEOs. I’m just wondering if you had any updated thoughts as we’re going to move into 1-1-2015.
Harold M. Messmer, Jr.: We’re not seeing any hard demand from clients where they are explicitly trying to avoid the thresholds to comply with ACA. That said, we are seeing a fair amount of demand for company’s open enrollment where they are tweaking, changing their internal benefit plans in part because of ACA. And as an example, many companies are going to these private exchanges to offer health coverage to their own employees and there is a lot of change and management attached to that. And if you look at office team, which has been growing very nicely and faster than many of our other divisions. If you had to look at one thing, it was the demand related to open enrollment, which at least indirectly relates to ACA. But it’s not the very direct we, the client, want to avoid the number of employee threshold, and therefore, that’s driving the ordering from us.
Paul Louis Ginocchio – Deutsche Bank Securities Inc.: Thank you very much.
Harold M. Messmer, Jr.: That was our last question. Keep an eye. Thank you for joining us on today’s call.
Operator: This concludes today’s teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half website at www.roberthalf.com. You can also dial the conference call replay. Dial-in details and the Conference ID are contained in the Company’s press release issued earlier today.